Operator: Thank you for standing by. At this time all participants are in a listen-only mode. After the presentation, we will conduct a question-and-answer session. (Operator Instructions). Today's call is being recorded. If you have objections, you may disconnect at this time. I'll turn the meeting over to your host today, Mr. John Gaensbauer. Sir, you may begin.
John Gaensbauer: Thank you, operator. Good afternoon everyone and thank you for joining us on Newmont's Third Quarter Earnings Call. Please note that this call and presentation are being simulcast today on our website at www.newmont.com and are available for playback for a limited time. On today's call, as you may seen, we have some recent management appointments that the slide doesn't reflect. We do have Wayne Murdy, Chairman and Chief Executive Officer; Pierre Lassonde, President; Richard O'Brien, Executive Vice President and Chief Financial Officer; and Tom Enos, Executive Vice President, Operations. On today's call Wayne will cover our third quarter financial highlights, Dick will review the performance at our operating regions, Tom will give us an update on our capital projects, and Pierre will cover merchant banking and give us his thoughts on the gold market. We will be discussing forward-looking information that involve unique risks to our industry that we described in our filings with the SEC. With that, I'll turn the call over to Wayne.
Wayne Murdy: Thank you, John and good afternoon, everybody. During the third quarter, we continued to generate earnings growth and gold price leverage for our shareholders. Our net income grew to $198 million or $0.44 per share compared to $126 million or $0.28 per share for the third quarter of last year. For the year-to-date net income grew to $568 million from $260 million in the same period last year, an increase of over 100%. During the quarter, we continue to make progress on our development pipeline. Ahafo reached commercial production in August after a successful startup on first gold pour in July. In Nevada, we expect our Leeville and Phoenix projects to reach commercial production during the fourth quarter. Our investment in these new mines will form the base on which to grow our business in the years to come. And as we discussed in September, we also expect to grow our reserves, net of depletion again this year, and Pierre will talk to that a little later. Turning back to the financial highlights again, net income was $198 million for the quarter on revenues of $1.1 billion, and we sold $1.7 million consolidated ounces of gold at an average realized price of $615 per ounce. Costs applicable to sales were higher than the year ago quarter. Unfortunately, as has been the theme for the whole industry, primarily due to lower production and increased costs at Yanacocha, but remain competitive at $318 per ounce. I would refer you to this morning's press release for a description of the various items impacting net income for the quarter, but of note, as previously announced, we sold our oil sands leases in our Martabe project in the Indonesia, generating after-tax gains of $193 million in the third quarter. These gains were partially offset by the write-off of our remaining investment in Zarafshan-Newmont joint venture in Uzbekistan, as a result of the Uzbek government's expropriation -- expropriation is a for fancy work for stealing of the asset earlier this year. We have filed a case against Uzbek government in international arbitration and will seek to recover our investment and our lost profits. In the third quarter, we also extinguished roughly 160,000 ounces of prepaid forward gold deliveries scheduled for June '07 at a cost of $26 million. With that I will turn the microphone over to Dick to discuss our operating results in a little more detail.
Richard O'Brien: Thank, Wayne. We have had a good quarter in the third quarter producing 569,000 consolidated ounces at costs applicable to sales of $428 per ounce. On an equity basis third quarter gold sales were equivalent to the year ago quarter. Gold sales also increased over second quarter levels. Cost applicable to sales increased 20% from the prior year quarter primarily due to higher labor, energy and consumable costs. Costs were also impacted by this year's change in accounting for stripping costs, which reduced costs applicable to sales by $25 per ounce in the third quarter of 2005. For the year, we expect Newmont to produce between 2.31 and 2.36 million equity ounces at costs applicable to sales between 380 and 395 per ounce as both costs and grades improve in the fourth quarter. At Yanacocha in Peru, gold sales were 578,000 consolidated ounces in the quarter at costs applicable to sales of $210 per ounce. As projected, gold sales decreased 25% from the year ago quarter due to fewer tons places on the leach pads and lower grades. Costs applicable to sales for the third quarter increased 46% per ounce as a result of a lower production and higher striping and labor costs. During the third quarter, Yanacocha recorded a $19 million charge related to a negotiated royalty arrangement reached with Peruvian government to provide additional funds for community improvement during this period of higher metal price. Payment is based on 3.75% of net income beginning January 1, 2006 and continuing for a period of up to five years. For the year, we expect Yanacocha to produce between 1.33 and 1.37 million equity ounces at costs applicable to sales of between $200 and $210 per ounce. In Australia and New Zealand, the company sold 355,000 consolidated ounces at costs applicable to sales of 376 per ounce. Third quarter consolidated gold sales decreased 6% from the year ago quarter. At the Tanami operations, we had lower mill throughput than the year-ago quarter, when we were processing Groundrush stockpiles. At Kalgoorlie, we experienced harder and more abrasive ore compared to the same quarter 2005. In addition the roaster was down for planned maintenance in the third quarter. At Pajingo, we mill 9% fewer tons than the year ago quarter as a result of ground control issues at Vera South Deeps and slower than planned at access at Jandam. Mill throughput at Martha was also lower as we transition from open-pit underground mining there. The lower production, however, was partially offset by higher grades at Tanami, Jundee and Martha. Costs applicable to sales increased 17%, primarily due to the lower production rates, higher royalties and the change in accounting for stripping, which lowered 2005 costs by $7 per ounce. For the year, we expect Australia and New Zealand to produce between 1.37 and 1.4 million ounces at costs applicable to sales of between 380 and 395 per ounce. Batu Hijau had consolidated sales of 90 million pounds of copper and 59,000 ounces of gold at costs applicable to sales of $0.73 per pound of copper and $286 per ounce of gold. Production at Batu continues to be impacted by lower copper and gold grades as well as lower mill throughput, due to harder ores. Costs applicable to sales were also higher than the year ago quarter due to the lower production and lower grades. For the year, we expect Batu Hijau to produce between 185,000 and 200,000 equity ounces of gold and 215 and 230 million pounds of copper at costs applicable to sales of between $200 and $225 per ounce of gold and $0.70 to $0.75 per pound of copper. As we indicated in our press release, production is expected to remain at approximately these levels through 2009, primarily as a result of the mine plan resequencing and the hardness for the ore. We are however, currently evaluating additional grinding capacity to increase throughput at the mill. In Ghana, the Ahafo mine commenced commercial production in August after a successful start-up in July. Gold sales for the quarter were 77,000 ounces at costs applicable to sales of $251 per ounce. Operations continue to be impacted by nationwide power shortages due to low water levels serving Ghana's hydroelectric facilities. We are in the process of installing additional diesel generating capacity at the site and along with our industry peers exploring other long-term lower cost alternatives. Costs applicable to sales for the balance of this year and next are expected to be continue to be impacted by the power shortages. For the year, Ahafo is expected to produce between 160,000 and 195,000 ounces at costs applicable to sales of between $260 and $290 per ounce. Now I will turn the call over to Tom to discuss project development.
Tom Enos: Thanks Dick. As Wayne mentioned, our Leeville underground project in Nevada is now operating at the targeted 2,100 tons per day rate for 2006 and is expected to achieve commercial operation status in the fourth quarter. We have completed the first materials handling system and are hoisting ore through the production shaft. We remain on track to attain targeted production rates of 3,200 tons per day by the end of 2007. At the open-pit Phoenix project in Nevada, we also expect to achieve commercial operation status in the fourth quarter. The mill has achieved its design production rate and was operating at a rate of 3,100 tons per day at the end of October. We continue to optimize the plant to increase recovery rates and are evaluating installation of a new crusher to address unexpected ore hardness. We are also progressing steady of a copper oxide leach program to potentially expand the scope of the Phoenix project. Also in Nevada, our 200-megawatt power plant remains on schedule for completion in 2008. Capital costs at the plant are now expected to be between $610 million and $640 million in part due to higher labor and commodity prices and purchases of railcars and track upgrades. At the Boddington project in Australia, construction is approximately 11% complete with initial production expected in late 2008 or early 2009. At Yanacocha, construction of the gold mill is under way with anticipated start-up in 2008. Finally, as we announced in September, we have delayed the construction of the Akyem project in Ghana, pending completion of permitting, resolution of the power shortages there and optimization of project economics. Now let me turn it over to Pierre.
Pierre Lassonde: Yeah, estimated royalty and other income for this year 2000 -- sorry I didn’t have my microphone on. Thanks Tom. We will start it all over again. Newmont Capital is having another record year. The royalty and other income for this year is now estimated at over $105 million and as you all know our target originally four years ago, five years ago was to be over the $100 million and we've now achieved that target and surpassed it. Not only that, but in this quarter, we booked over $300 million of pre-tax gains from sale of non-core asset. The major sales was the Alberta heavy oil, our Black Gold property, in which we had an investment of $20 million that we sold for a net proceed of US $280 million. We've taken some of that money back and put it back into buying our next acorn, as I call them, and that's $152 million investment in the FALC JV with Shore Gold, in which we purchased a 40% interest. And on that investment so far, this year over 200 PQ holes have been completed, totaling over 50,000 meters and on the Orion Cluster, in particular, and what we're finding is that the kimberlites are larger than originally thought, particularly on Orion North and South. And six new feeder vents were discovered during the 2006 program, which all bodes well. It's a very early stage, again, exploration program, but it's certainly one that is very attractive for Newmont. I will turn over to the gold market update very quickly. What we see here in the US, I call them the US economic factors that we are now entering the mid-cycle slowdown and it is going to become more pronounced next year. The third quarter this year, of course, was 1.6% and I think it's going to probably slow down from here on. The next important point is we believe that inflation has peaked. However, it's likely to stay at a much higher level than what the Fed, I think, is intimating. What we're seeing, certainly in our industry and other industry, is labor settlements are coming in at a higher level and that is feeding through the chain. I think you're going to see higher rate. So, the choice that the Fed will face at the end of the year is going to be with interest rates, what do they do if they're facing stagflation, and are they going to raise rate and get the US economy into a recession or not? What you can be sure of is that the gold price will anticipate the Fed action and I think what the gold price is saying right today or over the last week is that the Fed will blink and will start to lower rates because it doesn't want to have a recession. So, when you look at the gold market, what we see is in the last quarter, the physical demand has been very, very robust at the jewelry level in particular in India and China, when the gold price came back closer to 5.75, 5.85, very, very robust, physical demand. Mine production is set for a fourth annual decline and it's a reflection, again, of the lack of investment that were made back in the early part of this decade. Another very significant point is central bank selling is abating and in October, for example, Germany announced that it will not sell any gold in the new year of the Washington Agreement which means that for the second year in a row, the 500 tons that is allowed under the WGA, the Washington Agreement, will not be met. It will probably be closer to 300 to 350 tons. And, yet, on the other side, we are seeing central bank -- some central banks starting to buy gold and the whole notion is that we're going to have less gold for sale and higher demand. The gold ETF is now over 544 tons at the end of the month of October. That's an increase of about 40 tons in the last month and it just goes to show the increasing level of investment demand for gold. Considering all of that, our view is that the gold price over the next 12 months could see a downside of possibly 5 or, you know, $20 to $35, something like that, but on the upside, we're thinking that we could very well likely see $700 gold in the next 12 months. And with that, I will turn it over to Wayne.
Wayne Murdy: Thank you, Pierre. We are maintaining our production and cost outlook for the balance of 2006 with annual production of between 5.6 and 5.8 million equity ounces of gold at cost of sales of between $290 and $310 per ounce and between 215 million and 230 million pounds of copper at costs applicable to sales of between $0.70 and $0.75. Capital cost estimates for the year have been increased slightly as a result of the delays in the commercial start-up of Leeville and Phoenix. We've got higher costs at Ahafo and the changes in estimate for the power plant. As I said at the beginning of the call, we're focused on making steady progress in the ramp-up of these three new operations and as we advance them toward steady state production levels. In the meantime, our net income and operating margins have continued to grow at rates faster than the gold pours. Our unit operating margin grew almost 50% for the first nine months. With our production weighted to the fourth quarter, we expect to continue to generate expanding margins and earnings leverage to gold prices over the balance of the year. I'd also like to make note that we put out a release -- organizational announcement release after the close of the market today. We concluded a Board meeting and in this announcement you will note that Pierre is going to change his role within the company. He's going to move to a part-time status, but will continue to be very involved in the strategy and the direction of the company. I think you will continue to hear his prognostications on the gold price as we move forward. When we formed this partnership five years ago, I think initially we called it a trial and we're going to work together for a couple of years. That has continued to -- to go on and we expect that to continue for some number of years in the future. However, as part of the transition and management's succession plan, we have promoted Dick O'Brien, Tom Enos, Britt Banks and David Harquail to Executive Vice Presidents and Sharon and Steve Enders and Darla Caudle to Senior Vice Presidents. We will continue to increase their responsibilities in the coming years and look forward to getting back to a growth mode in this company next -- after next year and we see tremendous leverage because of the gold price and because of, once again, beyond 2007, we will start to see real unit growth. With that, I think we'll turn the call over to the operator and provide you all with opportunities to ask questions.
Operator: Thank you. (Operator Instructions). First question, Mr. John Bridges of JP Morgan.
John Bridges: Hi. Morning -- afternoon, everybody. Pierre, could you fill us a little bit on the central banks? Your comment on the reduced sales? Because I thought that you were still out on exactly what was sold this year to September.
Pierre Lassonde: John, the number that we have at the WGC is that the sales for last year were only about 352 tons. And for next year, 2007, I guess our view is that it's going to be broadly similar because Germany is not coming in with their 200 tons, so, probably someone else will step up a little bit, but even that is questionable because some of the other countries are starting to back down, as well. So that's where things are at this point.
John Bridges: Because there was some questions about metal would have been sold forward and not exercised or something like that?
Pierre Lassonde: Well, even if they sell forward, at some point it comes in -- you know, on the quarterly basis, they have to report so it comes in and we certainly haven't seen anything of that nature.
John Bridges: Okay. And a quick mining question on Martha. Just could you give us a bit of guidance as to what that's turning into? Wasn't that then you have taken it into an underground, is it a mix of underground and surface going forward? Or what can we expect?
Pierre Lassonde: Tom Enos will answer.
Tom Enos: Actually, we're doing a layback there in the surface mine, as well as an underground development.
John Bridges: Okay. So, what can we expect going forward? Is it going to be a mix? Will the layback last just a year or something?
Tom Enos: Yes, it is. It will be a mix. The layback lasts three years?
John Bridges: Okay. And then the mine itself? What do you expect from that?
Pierre Lassonde: Well, there's approximately over 100,000 ounces that are going to come out of the mine a year.
John Bridges: Okay. And what sort of life do you expect from it?
Pierre Lassonde: Gee, the way things have been going there in New Zealand, I'm not sure what we've got in the plan.
Wayne Murdy: We'd have to get back to you on that, John, but basically -- basically what happened there is we thought we were at the end of the life of the open pit and we're transitioning to all underground and we found some -- some additional ore that looks real good at the bottom of the pit. It will require the southern layback. We had to remove some surface -- I want to say facilities, but that's not the right term. Some historic surface facilities --
Pierre Lassonde: Historic pump house.
Wayne Murdy: Yeah, historic pump house and that's now been moved and so we started this additional layback, but it does extend the life of the mine, but the underground is like all underground. I mean we've just drilled it out for the next few years, but we think they will continue to be a relatively long life there.
John Bridges: Okay. It was a pleasant surprise anyway. I just wanted to see what to model. Thank you.
Wayne Murdy: Yep.
Operator: Next question from Mr. Michael Dudas of Bear Stearns.
Michael Dudas: Good afternoon, everybody. My question addressed to maybe for Tom. Could you expand a little bit more on the outlook for Batu Hijau, what are you thinking about relative to your crusher opportunities? And what could possibly come through in evaluating different alternatives to possibly improve the output or better mill throughput of that operation as you put forth in 2009.
Tom Enos: We currently are doing a study on additional grinding, which will probably amount to a -- a third sag line, so we'll be complete with really an evaluation of what it's going to take to get it permitted by mid-next year and make a decision from there.
Michael Dudas: Fair enough. And maybe Dick could go over the roll-off of the copper hedges for us again and how that's going to play through?
Richard O'Brien: What we've said previously is that we anticipate the copper hedges will come off in the first quarter with about a quarter of the production in the first quarter subject to hedges on a financial basis.
Michael Dudas: And then subsequent to that? You will have --
Richard O'Brien: Subsequent to that, we have no additional hedges outstanding at -- we will be out of our copper hedges.
Michael Dudas: My final question for Pierre. There's been pretty heavy buyback opportunities from the producer side this year. How much of an impact do you think that's had on the gold market this year? And if we don't get similar-type situations, unless we get a pretty strong spike in gold price, is that going to be somewhat hurtful if we get a little bit more concern about the disinflation or deflation?
Pierre Lassonde: The sensitivity of gold to -- to the tonnage, it's about 7 -- $7 to $10 per hundred tons. And this year, if you look at the total amount of gold bought back by Barrick and the others and minus the new hedging by other producer, it's probably going to be in the order of 250 tons or so. So, you could be looking at $15 to $25, somewhere in that range. And then add another 150 tons from the central banks or closer to 200, probably, that's another 14 -- $14, $15 to $25. But again, next year, you know, total worldwide production will be down again. So, whether or not the de-hedging next year will be at the same level, probably not. Probably a bit less. But you're only talking, you know, $7 to $15, in my mind, on the gold price of over $600. So, it's not -- it's 2%. It's not that material. I think the total level of demand is far more important. And you just look at the gold ETF, it's close to 300 tons -- the gold ETF was launched two years ago, November 14, and it's almost 550 tons over two years. I mean that's real, real, new, heavy demand. And we think it's going to continue. We just listed the gold ETF in Singapore. It's going to be listed on Hong Kong in not too long. We're looking at listings in Tokyo and Dubai, new listings in India. And the WGC, you know, we're going to circle the world with the gold ETF and create even more demand.
Michael Dudas: Pierre, you're quite busy with some other things going on. Congratulations.
Pierre Lassonde: Thank you.
Operator: The next question from Mr. Victor Flores, HSBC.
Victor Flores: Thanks. I have a couple of questions this afternoon. First of all, with respect to Leeville, you noted that the production shaft is now operational at about 2100 tons a day. My understanding is that in order to get production up to the levels you want -- and you have to get the backfill plant in. My understanding is that the backfield production is around 1500 tons a day. Where are you with respect to the backfill? And is that one of the items that's keeping you from producing at a higher level? And when will that come through?
Pierre Lassonde: Actually the -- the next ramp-up phase is another ore pass that will take the tonnage to the design of 3200 tons a day. Currently we have the ability to hoist through the ventilation shaft and we are hoisting some of our backfill material through there now. So the -- the plan is to have the other ore pass in by April of next year.
Victor Flores: Okay, sorry. So, then getting backfield down into the stope is not permitting you at this point in time?
Pierre Lassonde: No, sir, it is not.
Victor Flores: Great, thanks. Second question goes to the voluntary contribution in Peru. Of that 3.75%, has it been established what percentage of that will be managed directly by the company and what percentage will be managed by the government?
Wayne Murdy: No, it has not been established yet.
Victor Flores: Do you have a sense for where that's going to go? Or is there still a bit of horse training around that number?
Wayne Murdy: The latter. Still a bit of horse training.
Victor Flores: Okay, great. Thank you so much.
Operator: And the next question from Mr. John Tumazos, Prudential.
John Tumazos: Good afternoon. I missed the press release on the organizational changes. Wayne, I wanted to congratulate you on continuing on. Have you made any commitment as to how many more years to go. I know that 65 is only a technicality when you like the business, could you just review the ages of the different EVPs and Senior VPs and has anyone been designated COO?
Pierre Lassonde: Just before Wayne answered, John, I take it very personally, the way you phrased that question. And you will note that, you know, they had to move four people up to replace me. Okay?
John Tumazos: Pierre, you've got so much money that I don't worry about you.
Pierre Lassonde: Thank you, John. You don't have to advertise it.
Wayne Murdy: Actually the -- I don't know if anybody really looked. I was worried about when this announcement went out, whether people would start shorting the airlines, thinking that Pierre wouldn't be flying quite as much next year. But, you know, I think -- I'm 62 years old, John, so, you know, we're working through this, but I've -- you know, I've always said that I'd -- as long as my health is good and the Board will put up with me, my intention would be to work till the normal retirement age, which I guess would be 65. But, you know, we -- we take that a year at a time. But in all reality, I fully intend to do that. If I suddenly leave earlier, you will know that something happened. I think when you look at the team we've put in place and I don't have the -- I don't have the 10-K in front of me, but I will do it a little bit by -- I mean Dick O'Brien is 51 -- 52; Tom Enos is 55; Britt Banks is a teenager; David Harquail, I think, is 48. 49? 48. Steve Enders is 52. And Darla would be very upset. She's not in the room and I don't want to report that I reported her age, but I think she's in the general range of -- of the other age -- the other people that were named.
John Tumazos: Thank you.
Operator: And the next question from Michael Fowler, Desjardins Securities.
Michael Fowler: Yes, I was wondering about the -- in the cash flow statement under investment activities, there's some quite nice swings, I guess is, in terms of investments in marketable debt and equity securities and proceeds from the sale of marketable debt and equities, et cetera, et cetera. I wondered if you could explain, you know, what is going on there? I understand, Pierre, that you've been selling and buying, but if you could be a bit more specific?
Russ Ball: Mike, Russ Ball. That is a peculiarity of US GAAP. What we have there is our surplus cash is invested in marketable debt securities mainly and the GAAP requirement is that if the tenure of that investment is longer than 90 days, you have to reflect both the investing and subsequent redemption of that as an inflow and an outflow in the cash flow in the investment activity section. So, when you see that big movement -- and I'm looking at the nine months in the earnings release, you will see there investments to marketable debt securities of $1.4 billion and proceeds from the sale of marketable debt and equity securities of 1.9. All that -- all that is, in effect, Mike, is thus moving cash around -- surplus cash to generate the highest investment yield.
Michael Fowler: Okay. I got that, Russ. Thanks. And the acquisitions there of, what, 348 and proceeds from the sale of assets of Newmont Capital?
Russ Ball: Exactly. The 348 is the year-to-date number and that's our interest in Boddington and as Pierre mentioned, the FALC JV and then there's a little bit else in there. We described you a couple of placements, but nothing of any significance other than those two.
Michael Fowler: Okay. Thanks. Second question here is probably more in terms of the costs going forward, with some of these projects coming onstream, do you think, Wayne that you could actually contain those -- I mean your costs have been going up quite dramatically, with new sources of production. Do you think you can actually keep the costs around where they are right now with the addition of Boddington, Akyem and all of the other developments.
Wayne Murdy: Well, you know, of course, that's something we're working very hard to do. Over the longer term, obviously, bringing in newer mines that are replacing the older, depleted mines helps. But the reality is we've been going through a period, while our costs have gone up, the whole industry cost curve has changed and we're roughly in line, maybe even slightly down a little better. The big issue that affects us is we had the very low costs at Yanacocha. And as that mine has matured and the change in mix, it's a smaller piece of the total pie. So, that's something that's a little unique to our circumstance. But, you know, we're working through our business plan for next year and when we're ready to put out the guidance, we will, but it's -- I can tell you it's something that the management team is spending an incredible amount of time at. It's an item that is of active discussion, as you could imagine with our Board of Directors. But the world has changed and, you know, with where energy costs are and all the other consumables and the shortages of labor globally in the trades, it's -- it's a very different world today. So, we expect to continue to be very competitive, vis-à-vis the industry and bringing on new generations of mines is part of that strategy.
Michael Fowler: Well, I guess just to the general comment -- is -- is all these projects that are coming on stream, would they have cash costs which are less than what you have, say, reported today?
Wayne Murdy: You know, it's -- we have said that all of them would have cash costs that should be more competitive to the industry average, but I think you got to look to what's happening in the costs that we can't control and that's primarily the commodities. So, we expect to be very competitive vis-à-vis the industry. I think you will have to take a view on where you think those costs will be because there is just too many inputs in that. But when we look at the mines we're building, Boddington, very long life. We think there's tremendous upside potential as we start to get into a next wave of drilling there. Leeville has been, tough to start up, but we've always said once we get down there, we expect to find a lot more ounces and we expect to see some better grades and we've had indications that would say that that's -- our expectations will be met there. So, you know, we're in a business that has taken a step change in its cost structure and I think if you just look at the -- at the report this year, that all feels you can see that across the whole industry. So, if it sounds like I'm dancing a little bit, it's because I am tapping my shoes here because, you know, until we really do see energy costs flatten out, we really do see the labor situation improve in the trade globally, it's -- it's hard to say where the costs are going to be but that being said, we've been able to see expanding margins and we expect to see that continue on as we go forward.
Michael Fowler: Okay, very good, Wayne. Just a very quick one for Pierre. I think when you said there were downside on the gold price was -- I think you said $20 or $30, but it was kind of muffled at that time. Is that what you were saying?
Pierre Lassonde: That's correct, Michael.
Wayne Murdy: And let me add something on -- you know, you made a statement that our costs had gone up dramatically. That is so, but Gold Fields Mineral Services just came out recently with their half-year costs for the industry average and that number is $306. And let me point out that that number is 75% higher than the industry average five years ago. So, what you're seeing is an industry wide phenomena. When you look at AngloGold, they reported yesterday, their numbers were 311. And I think when you look at the other competitors that have more than one mine, the average for this year is very likely to be between $305 and $310 an ounce. That's where the industry is going. So, we're still very competitive, but less so than we were two or three years ago, when we had the advantage of a strong dollar vis-à-vis other currencies. Now, you know, the dollar is sliding back and it's hurting us, but the industry is converging and we're all doing -- I'm sure that our competitors are doing the same thing we're doing, working very hard to keep those costs in check and I think that it is a step function, every sort of like 5, 10, 20 years, you see a step up and then they stay there for 10 years or so and I think we are going to get there within the next 12 to 18 months.
Michael Fowler: Thank you very much.
Operator: (Operator Instructions). And we have a question from Mr. Don Maclean of Paradigm Capital.
Don Maclean: Good afternoon, guys. This one, I guess, is for Pierre and Dave Harquail. Congratulations and good luck to both of you for your changes just announced. Newmont Capital certainly has had an outstanding performance. I wonder if you could characterize a couple of other acorns that you planted a while ago, the Miramar and the Gabriel. Both of those investments have probably tripled in value, it looks like, since you invested. But, yet, they would represent maybe 20% of current production levels if you ended up owning both of them. Could you just characterize the strategic nature of those investments?
Pierre Lassonde: Well, they are exactly what you called them. Strategic investments. And, you know, the role of Newmont Capital from day one was to basically find acorns and plant them and water them and help the management to grow them and if we do not -- if it -- the acorn doesn't fit our profile, we sell them. That's what we did with Black Gold. Or, you know, we harvested that investment. And the other ones, they've grown, they've done very well. They've done everything we had expected them to do so far and you will just have to wait and see what we do with them. But we're very pleased and we continue to -- we're not going to talk too much about our future investment because what we're finding is that too many people are following what we're doing and so you may see some numbers going in the statement and not see an explanation for them. We're going to keep our acorn a little in the shade for the time being. But we are going to continue to do so.
Don Maclean: Thanks. The sign of a good portfolio manager. People following you.
Pierre Lassonde: Well, we're very pleased. It's done extremely well. We're very high on the Shore JV. We think that it is something very unique. It's in Saskatchewan. It's in Canada. A great place. And we're very high on this one. But I got to say that Alan Hill has done an exceptional job with Gabriel. We're, you know, tickled pink by what he's done. He's done a great job. And Miramar, the same thing. So, we're very pleased with the entire profile. And of course, the Canadian oil sands, I can't enough about it. We have over $0.5 billion capital gains unrealized, of course, but it's very nice to see that.
Don Maclean: Thank you.
Operator: And the next question from Mr. Oscar Cabrera of Goldman Sachs.
Oscar Cabrera: Good afternoon, guys. Congratulations to all people making moves sideways or upwards. Just related to the costs in Ahafo, your press release indicate that you are expecting higher costs in 2007. Just wanted to see if you can give us a little bit more color in terms of the size of the increase now that this year the expectation is between $216 and $219 an ounce. I was just trying to -- I think for modeling purposes trying to assess what the impact of higher diesel or power costs will be next year. That's one. Then I will have another one with respect to Yanacocha.
Richard O'Brien: Oscar, it's Dick O'Brien. With respect to the first one on Ahafo, we're not prepared to give any further guidance than what we did today, which is just to indicate that future power costs is still a situation we don't fully understand with the impacts of the costs and the cost of our replacement power and it's still a mine in start-up. So, we still have other things that are influx and when we come with our production and cost estimates for 2007, we will be very clear about what you should put in your model. Certainly understand why you'd want that today, but we're not in a position to do that today.
Oscar Cabrera: Okay. And then I wondered if you could comment -- with Buenaventura in their conference call yesterday said that they expect Yanacocha to produce 1.6 million ounces of gold at approximately $300 to $320 an ounce. Would you be able to corroborate those figures and comment on as in Ahafo?
Wayne Murdy: With respect to the cost and production for Yanacocha, we have indicated in our 10-Qs previously that we think production on a consolidated basis is about 1.6 million ounces a year. So, we can corroborate the first one with respect to costs for 2007. We've indicated in that same 10-K disclosure where we think the general direction is on costs on average over the next four or five years. Again, I don't have a number that I'm comfortable giving you for guidance for 2007 CAS at this point.
Oscar Cabrera: Okay. Fair enough. Thanks very much.
John Gaensbauer: Okay. Thanks, everybody. I think that's it. If you have any questions, we're here, give us a call.
Operator: Today's conference is concluded. You may disconnect at this time.